John Fallon: Good morning, everybody. Thank you for joining us. For those of you who are joining us by webcast, just to say that you can, as usual, ask questions online and I'll make sure that we get to them in the course of the presentation. For those of you who are joining us in person, you'll see new CFO, new format, two rostrums not one. But don't worry, Coram and I are not going to engage in a primary debate or something like that. It's just a more collaborative approach to the presentation. I'm here with Coram Williams, our CFO, also really pleased to be able to welcome our new Chairman, Sidney Taurel, who's joining us for his first results meeting. As you'll have seen, we're reporting today 2015 operating profits of £723 million and earnings per share of 70.3p. That is in line with the revised guidance we gave back in October and then reiterated in January. 2015 was a tough year for the Company. Market conditions were much more challenging than we expected and we fell some way short of the goals that we set for ourselves at the start of the year and, looking back five years, where we would, by now, have expected to be. But the Board is holding the final dividend which means a 2% increase for the full year to 52p per share and we're planning to sustain that dividend at that level. That reflects our confidence in the future of the Company and I think is borne out by the key headlines from the 2015 results, because overall, our competitive performance remains strong. We held or gained, share in all our major markets last year, as you can see from the details that we've set out in this morning's press release. The cyclical and policy-related challenges we face in our major markets are persisting for longer than we expected and they are having a bigger impact on profits than we foresaw. But they will start to stabilize by the end of this year and should then provide a modest tailwind. We're making good progress in ensuring Pearson can capitalize on the big structural growth opportunities we see in education, whilst mitigating the threats and managing our way through the transitional disruption they also bring. We're acting decisively to implement that strategy and to simplify the Company, for example, we're already, as you'll hear from Coram a little later, a quarter of the way through the growth and simplification plan that we announced last month. Our strategy should help many millions more people to acquire their learnings they need to achieve their aspirations in work and in life. And this, in turn, will generate good returns for our shareholders. So let's have Coram take you through the financials and then we'll do a bit of a double act in terms of talking more about our strategy and the path to 2018. So, Coram, over to you.
Coram Williams: Thanks, John. Let me start with some context on those financials. Cyclical and policy-related forces have been the key drivers of revenue and profits over the last few years. The biggest cyclical factor for Pearson is the rate of change in U.S. unemployment which correlates very closely with college enrolment. As John will discuss, in the long term, U.S. college enrolment will likely continue to rise but, in the short term, as you know and can see here, when unemployment is falling, college enrolment also falls. The key question is whether those cyclical pressures are disguising some other potentially structural changes in our business. So it's interesting to see whether declines in our revenues have been greater than you might expect, given those cyclical forces. The data here is pretty clear. Our U.S. college revenues have almost exactly matched total college enrolment declines. And that's despite our weighting towards community colleges and for-profits in 2010. The same is true in our UK qualifications business. So although in retrospect we did overestimate how quickly both markets would stabilize, we don't think there are symptoms of structural pressure. Both effects have largely played out by now and we think that both markets will have stabilized by the end of 2017. With those factors explained, let's look at our 2015 sales performance. While I do this, it might be useful to keep an eye on the detailed pie charts in the appendix to your packs. In North America, revenues grew 1% in headline terms, due to the depreciation of sterling against the U.S. dollar, but fell by 5% at constant exchange and 1% in underlying terms. In school, strong enrolment growth in connections education, good growth in clinical assessment and market share gains in courseware, were offset by a smaller adoption market, weakness in open territories and a change in revenue model at connections education which records revenue for services charged at cost on a net basis. In higher education, market share gains in courseware were offset by lower enrolments, higher textbook returns and list sales. Pearson online services experienced strong enrolment growth, but revenues declined due to lower sales from Learning Studio, a higher education learning management system that we're retiring and the impact of a change in revenue model. Revenues grew strongly at Vue, due to higher volumes of professional certification assessments. In core, revenues declined by 8% in headline terms, 5% at constant exchange and 5% in underlying terms. We grew in Pearson online services in Australia, Wall Street English in Italy, clinical assessment in Germany and English testing in Australia. That growth was more than offset by revenue declines in UK qualifications as the business nears the end of a period of policy change, revenue declines at Vue, phasing and market weakness in Australian higher education courseware and the focusing of our UK school courseware on products that directly support Pearson qualifications. In growth, revenues fell 4% in headline terms, were flat at constant exchange and fell 1% in underlying terms. In China, revenues grew modestly, reflecting strong sales of premium services in our English language learning businesses, partly offset by list disposals. In Brazil, revenues were stable with good growth in private sistemas and language schools, offset by declines in government funded sistemas and language schools. In South Africa, revenues declined significantly, due to a smaller textbook adoption cycle compared to 2013 and 2014, lower enrolments at CTI primary due to a reduction in the number of qualified students graduating from high school and tightening consumer credit affecting re-enrolment rates. We were also impacted by the withdrawal from the Saudi Colleges of Excellence. The tough trading conditions that I've just described drove a 2% underlying decline in revenues at a Group level which equates to £80 million. The portfolio impact of £129 million reflects the disposal of PowerSchool, together with a change in revenue model at connections education which records revenue for services charged at cost on a net basis. The appreciation of the dollar against sterling was the main factor behind the currency gains. Dollar deferred revenue declined in headline terms, primarily reflecting the disposal of PowerSchool during the year. It was up as a percentage of sales, demonstrating the continued strong underlying growth of our digital and services business which is up to 65% and highlighted in the appendix to your packs. The movement in deferred revenue can be better seen here with strong underlying growth of 8%. The organic growth was driven by an increase in deferred shipments and online subscriptions in North American K12 learning services, thanks to a strong performance in Texas adoptions, as well as Wall Street English growth in China, partially offset by the BTEC sales decline in the UK. Our operating profits declined by 2% in underlying terms. In North America, adjusted operating profits fell 1% at constant exchange and were up 1% in underlying terms, with contract losses in school assessment and an adverse revenue mix offset by tight cost control and the profit on the sale of a list. In core markets, profits declined 2% in underlying terms, due to lower revenues offset by tight cost control. In growth, profits declined significantly for reasons I will come back to shortly. The FT delivered a solid performance, but profits were down slightly on a like-for-like basis when compared to 2014. Penguin Random House had a good 2015, helped by increased savings from the integration program. 2014 benefited from an exceptional number of movie tie-ins, but the 2015 publishing performance still enjoyed hundreds of best sellers, including The Girl on the Train, by Paula Hawkins and Grey, by EL James. Each sold more than 7 million copies worldwide. This bridge highlights the year-on-year movements in operating profit. Disposal of the FT, Economist and PowerSchool reduced profits by £10 million. The depreciation of emerging market currencies was more than offset by the appreciation of the dollar versus the pound, driving a gain of £22 million. The trading pressures I've already described dropped through to profit at a regular gross margin and impacted profits by £60 million. Cost inflation reduced profits by £61 million and PRH's contribution to our costs through transitional services agreements reduced by £25 million as the integration proceeded at pace. The services agreements have now largely ended. Investments increased costs by £30 million, partly due to increased product development amortization and partly due to our platform simplification program. We enjoyed an additional increment £45 million of benefits from the 2014 reorganization and costs reduced by approximately £50 million. Finally, as a result of missing our target we're not paying any annual incentive plan bonuses which reduces costs by £70 million, compared to 2014. Profit in our growth division was poor, so it warrants further explanation. The net impact from trading was £10 million, primarily reflecting the profit decline in South Africa in both the textbook market and CTI. The contract termination charge relating to our transition of the Saudi Arabian Colleges of Excellence to new providers, cost inflation and investment in refocusing China, was partly offset by the benefits of the integration of Multi and SEB in Brazil to produce a net £21 million downside. Devaluation of emerging market currencies reduced profit by £13 million. This has resulted in an overall reduction in profit of £44 million, leaving our growth markets in a net loss position. Our 2016 restructuring program addresses this profitability challenge, as I will outline later. Our EPS was 70.3 p, 5% up on 2014 and in line with the revised guidance we gave you in October 2015 and January 2016. That primarily reflects lower interest and tax payments mainly due to a higher than usual level of settlement of historic tax positions and the associated release of accrued interest on those provisions, as well as additional interest income. The absence of such settlements in 2016 will result in a normalized tax rate of 19% and an interest charge of approximately £60 million. Our statutory profit for the year was £823 million or an EPS of 101.2p, reflecting the impact of two significant items. Firstly, following a thorough impairment review that I carried out at yearend, we're taking a significant write-down of £849 million or 14% of the total goodwill in intangibles that we carry on our balance sheet. £530 million of this relates to goodwill in our growth territories and has been driven by their worsening macroeconomic environments and associated trading pressures. £282 million relates to our North American business and is driven by the cyclical pressure in college and the reduction in testing revenues. The remainder relates to core where we have impaired a small amount of goodwill relating to Wall Street Institute. It is important to note that all of the assumptions that underpin our impairment analysis are consistent with our 2018 goal of £800 million or more of operating profit. Secondly, we have a significant gain on the sale of the FT and the Economist, contributing to a profit from discontinued operations of £1.175 billion. The gain is a clear sign of the value achieved on exit from these businesses. Our operating cash flow was weak at £435 million or a 60% conversion rate. The cash performance partly reflected the trading pressures we experienced during the year, but was also impacted by one-off increases in working capital and capital expenditure. The rise in working capital was primarily due to three factors. Firstly, we have a mismatch on incentive payments between cash flow and accruals on the P&L, because the bonuses relating to 2014 we paid during 2015, but the accrued provisions relating to 2015 were zero in the P&L. Secondly, the exceptional returns we received in our North American college business in 2015 from a single retailer change in strategy and destocking. And third, a slight increase in receivables primarily driven by the termination of our Saudi contract. Our capital expenditure is up significantly as we invest in new, simplified global systems. Another way of thinking about this is to bridge the effect of these items on our cash conversion percentage and identify which ones will reverse in 2016. Firstly, that mismatch on incentive payments between cash flow and P&L affect conversion by 12% and will reverse in 2016. Secondly, the additional CapEx is worth about 10% on cash conversion. We expect that CapEx will remain at these levels through 2016 as we invest in simplifying and renewing our systems, but it should reduce, over time. Third, the exceptional returns in North American college impacted conversion by 5% and should not repeat in 2016. And finally, pension top-up payments, driven by our last triennial valuation exercise in 2012, were worth 8%. Our 2015 triennial valuation, the latest one we've done, shows our pension to be in surplus, so we will not be making further top-ups in 2016. On this basis, our cash conversion rate for 2016 should be at closer to a normalized level of 95%. Our operating free cash flow was £158 million lower than 2014, with lower interest and tax payments partly offsetting the lower operating cash flow. We made non-operating tax payments in respect of the disposals, causing our total free cash flow to be £261 million lower than 2014. Our balance sheet has been significantly strengthened by the disposals we made in 2015, reducing net debt by £1.45 billion gross before tax. The strong dollar and low cash conversion increased yearend net debt by £133 million and £214 million respectively, as did the tax on disposals which accounts for the rest of the difference. As you can see in a table at the back of your packs, our lease-adjusted net debt which is similar to that used by the rating agencies, was £1.9 billion. Goodwill and intangible assets have reduced significantly as a result of the £849 million impairment that I mentioned previously, with the remainder of the reduction driven by the disposals we made during the year. Back to you, John.
John Fallon: Thanks, Coram. Well, as Coram said, the challenges that we faced over the last few years have been largely cyclical. But that's not to say that there aren't some big structural trends at work in education, because there are and we lay them out here. What it is to say is that we're moving quickly and decisively to seize the big growth opportunities that they offer, to minimize the risks they could pose to our analog businesses if we didn't act quickly and to manage that transition from analog to digital in services effectively. So let me just take a few minutes to explain how we're doing this in the context of our U.S. higher education. It's our single biggest business, although the strategy that we're deploying applies across the whole of the Company. As you can see here, around the world the economic value of an education has never been higher. In the United States, for example, the real lifetime earnings premium to a college education is greater than ever. A college educated household earns on average, as you can see, $58,000 a year more than a high school educated one and the value of a post-graduate degree has risen even faster. This is actually a social as well as an economic issue. If you look at it, the increase in education wage premium actually accounts for as much as 70% of the dramatic rise in income and equality that you've seen in the United States over the last decade or so. At the same time, as we know from newspaper headlines, the cost of education is also going up faster than inflation. And, with austerity and other factors, public funding for education is also under real pressure. And yet, the rising cost of education has not, if you look at it, brought any real increase in productivity which remains low and there's this alarming mismatch between the expectations of employers and what educators think they're actually delivering into the workplace. So economic value of a college education greater than ever, cost of getting that degree increasing rapidly for individuals, public funding under pressure, and the process of getting that degree remaining inefficient with an uneven pathway to achieving the economic value to banking that graduate premium. And this is playing out, not just in America, but in countries all over the world. And this presents our customers, whether they are university presidents or school superintendents or teachers or faculty or parents or students with a real challenge. How do you increase learning outcomes to improve levels of employability at a lower total cost to the individual and to the state. You'll recognize this challenge from other sectors and it's exactly the sort of challenge that society looks to the disruptive powers of technology and innovation in new business models to help address. For example, I remember it very well, three years ago now, the debate raged, not as to whether MOOCs, massive open online courses, would transform the higher education landscape, but simply how quickly the avalanche would be triggered. As you can see here, the reality is proving rather more complex. MOOCs, of course, still have an important role to play and the business models of MOOCs will continue to evolve. Likewise, open educational resources, OER, is finding a role, particularly in providing supplemental support in classrooms. But to extend their reach beyond that, OER producers are having to find a way to match commercial courseware in terms of quality, accessibility scope, choice, customer support, most importantly impact on learning of outcomes. And what they are finding is none of this is easy or cheap to do. And that perhaps explains why, in search of a business model, the leading OER provider of three years ago has since pivoted first to online program management and then, even more narrowly, to competency-based education within that area of the market. So these new entrants, like the rest of us, are all grappling with the fact that online education is actually still in its relative infancy. And, whilst the rate of innovation can be rapid amongst pioneers, in the mainstream of large educational institutions it's actually rather more cautious. Why is that? Well, it's because education is a complex, it's a dynamic environment. For us as publishers, free and open has always been part of the mix and we have plenty of experience of adapting and partnering with OER providers to deliver best-in-class education. For example, our K12 online learning exchange delivers curated, best-in-class, OER materials aligned to standards in the curriculum. They're installed as part of the broad curriculum implementation which includes teacher training. And so, as with the MOOCs, OER repositories, courseware, courses, will be and are, an important, but actually relatively small, part of the education ecosystem. Now in other sectors, advertising is the driver in making free to consumer work, but of course, in education, advertising doesn't really feature as a business model, due to privacy regulation. And that, of itself, makes it much harder to scale a free strategy commercially. But much more than that, in education decision making happens at multiple levels across institutions, from individual faculty through to university president. And that makes distribution, go-to-market capability, the sort that Pearson has built its business on, really, really important. You have to be able to navigate the complex interaction of regulation, fragmentation and customer inertia. And then, of course, learning itself is an active dynamic connected process. It's not just something you passively consume, it is something you actively do. So that means there is a real premium on the ability to implement at scale and achieve results that are replicable. And there is real value in products and services that address those challenges I outlined earlier, that improved productivity, student completion and lead to better and employability. So our strategy simply is all about providing that value and commanding that premium. And it's about using our scale, our reputation, our relationships, to help both the pioneers to press ahead more quickly and those in the mainstream to manage their way more carefully through this digital transition. Pearson operates a wide range of business models, so we're really focusing on simplifying the Company and been very clear about our strategy which is quite simply this. We have world class capabilities in educational courseware and assessment. Building from that, we have a strong portfolio of products and services powered by technology and we then combine these core capabilities with services that enable our partners to scale online which enables them to reach more people and ensure better learning outcomes. That, in turn, provides us with a larger market opportunity, a sharper focus on the fastest growing education markets and, over time, stronger financial returns. If you've had a chance to look, you'll see from the pack that our revenue is split 50/30/20 today between courseware, assessment and services. As we start to grow again over the next few years, services will become a bigger part of that and a bigger part of what we do. But to implement our strategy there are four things we've got to get right. In courseware, we have to lead in personalized adapted learning. In assessment, we have to lead in developing smarter, better tests that provide a clearer path to college and employment. We have to combine that courseware and assessment with the services to scale online, virtual, blended learning, moving it from the pioneers who we partner with into the mainstream. And, we have to simplify the Company as we set out in January and Coram will update you on that work in a minute. First, just to illustrate that the real value really does lie in improving productivity, student completion and employability, let's talk more specifically about what we're doing around courseware services. You've seen this chart before. In courseware, over the last decade, our digital leadership has really been about our ability to automate the setting and marking of homework and we did that with our MyLabs and Mastering products. As I say, you've seen this case study before. It's one of many that we've shared with you that demonstrates just how successful this strategy has been in applying technology to improve productivity and deliver better learning outcomes. And in courseware, this is enabling us to mitigate the risk of that analog to digital transition. This is the third year that we've shared the data with you and it tells the same story as in previous years. As physical textbook sales decline and digital registrations increase, we're sustaining revenue per enrolment. Building off the success of the MyLabs and the Mastering, the next innovation that we've brought to the market, with launch of REVEL, is to develop more advanced learning analytics capabilities that enable teachers to intervene to help their students, based on data not just garnered from homework, but from all that they do as they interact with the courseware. And products like REVEL, as a result of that, are increasingly adopted at the institution or the enterprise level rather than just at the faculty level. As you can see, in the left-hand chart here, our customers report that, as with MyLabs and Mastering, it's extending the learning gains that we've achieved, but enabling us to do it in new disciplines which is really important. And as you can see on the right, it accelerates our shift from textbook license selling which is shaded in the yellow, to courseware digital subscription selling in dark blue. And you can see that, actually, over the three-year addition cycle, that shift is beneficial and, over time, it increases our addressable market as sell-through increases. We're now moving beyond that to make a much more concerted push into adaptive personalized learning, really focusing on two areas. First, by building out our learning analytics capabilities much more extensively to help teachers be more effective and investing in adaptive learning systems where the system itself intelligently adjusts in real time to the needs of each learner, providing much more specific and personal feedback. We'll share with you and showcase, some of the exciting new products that these capabilities are enabling us to bring to market in the Investor Day we'll hold in June, where we will focus on global higher education. We're confident that it will help our customers to improve productivity, student completion and employability and ensure we can sustain revenue per enrolment in our courseware business. But it'll also do something else, it enables us to play a much larger role at the enterprise level as our customers seek to scale online. Two of the fastest-growing businesses in Pearson, online program management for universities, operating virtual charter schools, are already in this education as a service market. This market is young, but it's growing fast in its own right. Online program management will double in size over the next five years. Virtual schooling is growing at around 10% per year. Just as importantly, I think blended offerings which combine some of these online capabilities with face-to-face learning, are going to become a much bigger part of mainstream education, both in America and around the world, over the next few years. As we've signaled before, as we provide this end-to-end bundle of services across the student lifecycle, from recruitment and enrolment to retention, as we participate in a revenue sharing model, we compete, as you can see, in a much bigger, addressable market. So by getting ahead of the big trends we see in education, by helping to raise productivity, outcomes and employability, we can achieve three things. One, we mitigate the structural risks by sustaining revenue per enrolment for our established courseware and assessment products. Two, we see the structural opportunities by leading new and adjacent markets which, as you can see here, offer much higher average revenue per user which is why our investment is increasingly trained on online program management, on virtual and blended learning, on pathways to employment. And, three, we're also managing the structural transition from analog to digital by, for example, reducing our fixed warehousing capacity as you can see here, by almost 90%. That's part of our much wider growth and simplification program. I'll now hand you back to Coram who's going to remind you of the investment and the payback on that program. He's going to update you on the progress that we've already made, remind you of our guidance for 2016 and also expand how we're thinking about capital allocation as we think about this work. So, Coram, back to you.
Coram Williams: Thanks, John. As we announced in January, we're implementing a very significant restructuring program in 2016 which will cost around £320 million and deliver in-year benefits of £250 million. The program is consistent with our strategy and aims to simplify the Company further and respond to the challenges that we've faced already. We've made real progress already in implementing our plans and more 1000 staff have been notified of redundancy since we announced the program in January. In courseware, we've already moved to create a single global product organization and 370 people will be leaving the Company over the next month or so. In assessments, we've implemented a first wave of restructuring and reduced headcount by 110 people. We're reducing exposure to direct delivery services, either by running more efficient operations or exiting completely from loss-making businesses and contracts, specifically to respond swiftly to the profit pressure that we're seeing in our growth segment. 150 people have already left our South African CTI business. And our efforts in driving efficiency improvements across our enabling functions are moving swiftly. We've transferred 300 roles to a technology delivery center in Sri Lanka and reduced a further 150 roles from our core technology operations. This is on top of the 600 roles we've already outsourced to RR Donnelley in our North American supply chain which was announced in early January. This clearly demonstrates the pace at which we're implementing our plans and gives you confidence that we can deliver our full-year targets. In January, we committed to giving you more insight into how our guidance for 2016 and our 2018 goals are built. So I want to set out some of the key factors that determine our outlook. One critical input is U.S. higher education enrolments. We've done a lot of work looking at the historic relationship between enrolments and unemployment and we know that, in a steady-state employment environment, enrolments should grow at around 1%. As shown on this regression analysis, based on these historic trends and current market forecasts for 2016 unemployment, enrolments should grow by about 0.5% in 2016. We've assumed that they're flat in our 2016 plan and we've not assumed any significant market share gain either. BTEC registrations are mostly made in the autumn, so we already have a pretty good visibility into 2016 revenues. As you can see here, the rate of decline continues to moderate, primarily due to the tail-end of policy change on BTEC firsts. By 2017, these will have worked their way through the system and we expect moderate growth thereafter. As we told you in January, we expect 2016 U.S. testing revenues to be lower, following contract losses. Our assumptions for 2016 and 2017 assume a continued volatile policy environment and further contract losses. These assumptions reflect our recent experience, but we hope prove conservative. Our professional certification business will decline in 2016, due to the loss of the driver standards test in the UK, but clinical will continue to enjoy growth. We expect the U.S. K12 courseware market to be smaller this year, primarily due to a smaller new adoption opportunity. Our participation rate will also be lower this year, as we're not competing in the largest single opportunity, California Elementary Reading. This will likely mean that we lose share this year on a headline basis. We do expect the open territories to be a little better, primarily driven by our new product cycle. We're expecting policy uncertainty and budget challenges to continue to put pressure on our South Africa school textbook business and lower high school graduation rates and ongoing consumer credit challenges, to result in lower enrolments at CTI. We anticipate significant macroeconomic pressure in China and Brazil, but we're forecasting modest growth, driven by product launches such as the New Student Experience. We're forecasting continued growth in online program management in higher education and virtual schools, reflecting the strong ongoing demand for such programs. As I outlined in January, we're also subject to significant cost pressures, driven by incentive compensation, technology dual running costs, inflation and increased pre-publication amortization. This is more than offset by the £250 million of restructuring benefits which is planned for implementation, with minimal disruption through our crucial sales seasons. As we said in January, taken together, this means we're expecting to deliver operating profit and adjusted earnings per share of between £580 million and £620 million and between 50p and 55p respectively in 2016. This guidance is based on our current portfolio of businesses and exchange rates on December 31, 2015. Our balance sheet is in good shape and we expect our strategy to generate good incremental returns and cash flow. So in that context, I thought I'd finish by briefly outlining how we're thinking about capital allocation. As we said in January, we think our organic investment is at about the right level, although as we've indicated, we're focusing that investment on fewer, bigger opportunities. We've analyzed the market potential and relative profitability of our key units and this drives where we choose to invest. The headline analysis is included in the appendices to your packs. Sustaining our dividend at 2015 levels reflects our confidence in our 2018 goals, the strength of our balance sheet and our belief that our organic investment is already running at about the right level. We're still committed to our BBB+/Baa1 credit ratings over the long term, although you will have seen that Moody's recently downgraded us one notch, due to the short term pressures we're facing. Achieving our 2018 financial goals should help our ratings bounce back. Short term, with our focus on simplifying the Company and delivering the restructuring, we're not planning on making acquisitions. We also have limited ratings agency headroom. All of these uses of capital will, of course, be benchmarked against other returns of capital. Our focus will be on ROIC both before and after disposal proceeds. The latter adds around 2 points to our ROIC and captures the significant value we've generated for shareholders by growing businesses and then selling them for significant gain. John, back to you.
John Fallon: Thanks, Coram. And finally, as we work towards our 2018 goals, these are the milestones that we'll report against to help you track our progress. As always, we'll update you on our key financial metrics and our operational progress, as we've done this morning, as we move through our restructuring and simplification work this year. We'll also report regularly on our competitive performance in our key businesses. We'll give greater detail on the assumptions underpinning our guidance and greater transparency around the underlying drivers of growth and profitability, as Coram has done today and as we've tried to do in the appendix to your pack. And we'll also report on Pearson's reach and impact on educational outcomes, because increasing our efficacy is a vital part of seizing the structural opportunities that we see ahead of us. So as I said at the start, this has been a challenging time for everybody in the Company and for all of our shareholders, but we're very confident that we will emerge from it as a more powerful Company. We continue to build strong market positions with real competitive advantage. We're acting to optimize Pearson to focus on operational execution, tight cost management, sharper strategy to return to growth. We will be faster, leaner, more agile. We'll have a more resilient business with a clearer set of growth prospects and we do see a significant growth opportunity for Pearson to provide high quality, affordable, accessible education that leads people to a better job and a better life. That's a compelling prospect for the students and parents we serve, but it's an equally compelling prospect for our employees and our shareholders as we continue to build Pearson into the world's learning Company. And we're very confident that we can achieve our 2018 goals and build from there. And with that, Coram and I will be very happy to take your questions.
Operator: [Operator Instructions]
Sami Kassab: Sami, Exane BNP Paribas. I have the usual three questions to start with, please. Can you elaborate on the market share assumptions that you have in your guidance, both for 2016, given the market share losses you recorded during the last round of restructuring in 2014, especially in K12? So are you assuming any market share decline or not in 2016? And likewise, in 2018, you talked about market share increases, improvements, can you quantify exactly how much is baked into the guidance, please? Secondly, Wall Street English enrolment growth in China looks disappointing to me, can you comment on why is that? And, you talked about refocusing in China, so please would you be refocusing in China. And lastly, Coram, you talked about connections education and its change in accounting revenue recognition, what impact did it have on the North American organic revenue growth report in 2015, please?
John Fallon: Let me take the first two questions and then Coram can pick up on the third. I think, as you saw, we're actually really pleased with the competitive performance of the business in 2015. In every market we held or gained share, so very, very strong competitive performance. I think we've learnt a lot from the restructuring that we did a couple of years ago. This phase of restructuring is much more focused towards back office, technology, operations and the like. We've got it planned very carefully through the year to minimize the impact of disruption on operations and major sales season. But I think we should say that, whilst there's always implementation risk in a major restructuring, I think we have a high degree of confidence that we can minimize the impact on market share. But, if you like, as a sort of countervailing check on that, whilst we've got some really fantastic new products coming to market, in our guidance we're not actually assuming any market share gains. So I think that that's a relatively cautious approach that we're taking. I think in Wall Street and actually in China, we're seeing the phenomenon that Coram talked about, that actually in our direct-to-consumer businesses we're still seeing good underlying revenue growth. But that's been offset by real declines in revenues from our government customers who are facing challenges with austerity and other measures and the like. As Coram mentioned, we've put a lot of focus and a lot of investment into something called the New Student Experience. The purpose of this to enable us to do more blended and virtual learning. So previously in China, we could only expand as quickly as we opened a new physical center. So for the last year or so, we've switched investment from opening new centers into developing a new technology platform which will then enable us to scale. So the growth in enrolments in the last year has been held back, to some extent, by the fact that we've been opening fewer new centers because we wanted to wait to introduce the new platform. The other thing the new platform does is it increases the yield per center because we need less real estate footage for the same number of students, because more of the learning and studying is done online. In spite of that, we've still been enjoying good, high single-digit growth in revenue terms in Wall Street English. And, of course, the cash revenues grow more quickly than the revenues you take through the P&L. Coram, do you want to pick up on the connections?
Sami Kassab: You didn't address the 2018 market share assumption.
John Fallon: I think I said that we're not assuming any significant gains in market share over the next three years. We're assuming very much that we will hold share. Coram?
Coram Williams: And on connections, so the issue here is revenue which is effectively us billing the schools at no extra margin, so it's things like salaries for teachers. It has no profit drop-through. As that industry has evolved, we think that the best way to account for that is to take it out of revenue and effectively offset it against the costs. It's worth about £90 million year on year, so if you look at the difference in North America between the 5% CER decline and the 1% underlying decline, it's the lion's share of that.
Matthew Walker: Matthew Walker, Nomura. I'll just read something from the College Bookstores Association which says that student per capita spending on learning content, both print and digital, is in decline. Going back to your point about revenue per enrolment, can you provide that on a net basis and also purely for courseware, because clearly, net sales were down significantly given the returns? So it'd be great to see what exactly is in that definition and to get it on a net basis. The second question is, why stay in places like Italy, South Africa, Australia, what's the point, when you're trying to simplify the organization, of remaining in those businesses? And the final point is on the R-squared about the enrolments and employment. Is it not slightly going to change based on trends in affordability? So does the fact that college is becoming increasingly unaffordable put some pressure on that relationship between enrolments and employment?
John Fallon: Let me take the third of your questions first. That data that I showed was the net economic value. So basically, it took full account of the cost of college tuition and the increased revenue that that brings. And what it tells you is, in spite of the rises in the cost of college tuition, the return on investment with a college degree in America is greater now than it has been at any point in the last 50 years. So the return on investment with a college degree, even with high tuition fees, is greater than ever but I think affordability, as I was trying to explain in the presentation, is a big structural opportunity for us because, if we can help people to achieve the economic gain of a college degree, but not having to spend quite as much on tuition because we offer an opportunity of an online degree which they can do more flexibly, they can avoid the costs of halls of residence fees and the like, they can study alongside working and the like, then I think that's a huge benefit to them and to society and one that we can benefit from. On the college bookstores, I think you've got to take into account the Amazon effect, because clearly, what you seeing, is a lot of students switching from buying through college bookstores to buying through Amazon. So it'd be a bit like looking what was going on in trade publishing just by seeing what was happening to Barnes & Noble and not was looking at trade publishing through Amazon. So I think if you look at the whole which is what the AAP data gives you, you will see that, as I said, our gross revenues last year were down about 1.5% which is in line with enrolments. I showed you the revenue per enrolment data on a gross basis. If we had shown it on a net basis because of the exceptional returns we had one retailer, it would depress the 2015 number a little bit and push up the 2014 number, but the trend which is over the four-year period that revenue enrolment is growing, would be unchanged. I don't know if, Coram, you wanted to add anything to that?
Coram Williams: Yes, we look at average revenue per enrolment on a print and digital basis for obvious reasons, there are blended products in there and actually courseware is both a print and a digital service and we're very clear on that. John's point is absolutely spot on, we chose to show it in a gross basis because that tracks the enrolments most clearly and that's what we were trying to demonstrate, but the trend will be exactly the same on a net basis. 2014 slightly higher, 2015 slightly lower, but still an upward trajectory.
John Fallon: And then on your questions around Italy, South Africa, Australia, if you look at one of the two areas of growth in Australia this year, one is around the rapid adoption of the Pearson test of English as the major test that's been used for migrants looking to get Australian citizenship. That's obviously a global product that we're able to deploy in Australia at minimum cost. Likewise, we've exported very successfully the Arizona State ASU online program management model to Australia with Monash and Griffith. So that's two examples where there's good synergies between our UK and American and Australian businesses. And likewise, in Italy in recent years, adoption of the MyLabs and the like has bought significant benefit. But clearly, if you're asking more generally about the portfolio, our strategy is an active living thing. We're constantly reviewing the portfolio, seeing how we're matched up of where we think the opportunities and the threats are. And so all the time, we're saying, on all the businesses, that we own, do we remain the best owner of this business, might it be worth more to somebody else. I think we've had a pretty good track record of doing that over the last decade and that will continue.
Nick Dempsey: Nick Dempsey, Barclays. I've got two questions. So first, just to dig a bit more into this gross and net issue, am I right in thinking that your gross sales growth really is about what you predict for enrolments and, therefore, the fact that they track together it's not that surprising? But then you find out, when you get your returns, how the students have been behaving in terms of whether they've bought more second-hand books, more rental, whether they've not bought the books at all. Therefore, it doesn't make a lot of sense for me to track gross and going forward, if we're going to see any structural pressures there wouldn't they pop up in the net number and not the gross number? So that's question number one. And then on enrolments, you've talked a lot about how first-year enrolments are important to you, you've talked about your footprint being a bit more weighted to community colleges and for-profit. So in the event that you're right and the enrolments for the whole market are flat, where would your footprint be approximately?
Coram Williams: Let me start on the gross versus net, I think it's a bit more sophisticated than you've just described it. So gross is a good predictor of demand, it's a predictor of what we think the demand will be. But that's also done in conjunction with our retailers, who have a pretty good handle on the ground and our sales reps, who understand what adoptions are being made and, therefore, how many students are going to be at the courses. You have to look at both, because gross is a sophisticated predictor of demand, net is, at the end of the day, the demand that's come through. And I think the point that we were trying to make on the ARPU is that whichever way you look at it, whether you're tracking it on gross as we have chosen to do here or you're tracking it on net, the fundamental point is still the same, that that ARPU is actually growing. I think that demonstrates clearly that the structural pressures are not evidenced either at a gross or a net level.
John Fallon: I'll just pick up on your second point on the -- it's true that, if we look back to the late 2000s, Pearson was more weighted to the community colleges and the for-profit sector. I think one of the really good things about our competitive performance is actually we've managed to rebalance that. And we've managed to increase revenue per enrolment, in spite of the fact that we started with that overweighting to those parts of the market that were most badly affected. And one of the reasons we've been able to have such a good competitive performance last year is the launch of products like REVEL has enabled us to take some pretty significant share in the traditional four-year not for profit and public university sector. And our particular success in the STEM subjects, science, technology, engineering, math, the share we've taken in business and economics, has been really impressive. And that's enabled us to counter the historical weighting we did have in those other sectors. Obviously, the traditional 18 to 24-year-olds going into those public universities, those enrolments have remained pretty steady through the cycle.
Tom Singlehurst: Tom Singlehurst, Citigroup. I had a handful of questions.
John Fallon: You don't have to have a handful of questions, Tom. You could just ask one.
Tom Singlehurst: Okay. It's one question with three completely separate answers. The first one is on the political cycle, if we look at what's going on in the primaries both for democrats and republicans, if we can sum it up, it looks like you've got at least one republican candidate who wants to axe for the Department of Education. And then if we look on the other side of it, you've got the democratic candidates talking in broad terms about trying to increase enrolment in community college by potentially subsidizing. Can you just talk about the potential impact of either scenario on your business and how that would work through in terms of the higher ed business particularly?
John Fallon: First point to remember, Tom, as I know you know, is that over 90% of public spending on education in America is actually driven by state or local decision. So federal decisions set the general environment, attract a lot of heat and noise, but the real decision making sits at what's happening at the state and local level. Which is why, back to the point I made earlier, the breadth of Pearson's contacts, networks, partnerships, distribution is so important because it's what's happening on a state-by-state level. It's interesting to know that actually bipartisan support saw every student succeeds at past, that is very consistent with the Pearson philosophy around testing which is fewer, smarter assessments. I think it goes a long way to meeting the concerns of teachers because it gives states greater flexibility as to how they use accountability when applying tests. It means fewer tests, but it does mean there is still annual testing for grades 3 to 8, so that means that there will still be a vibrant testing market for some years to come. We talked about this on the January call, it is a usually unpredictable environment around K12, particularly around the implementation of common core or certainly the noise around common core, because in reality most states are implementing higher college and career ready standards. And in the guidance we've given, we've said it's possible that we could see some more contract losses in 2017. It shouldn't affect 2016, but it's possible that is could affect 2017. That's in our guidance, so I think we've taken a pretty cautious view from a K12 perspective. On the higher education side, as I think I signaled, I think it's what's happening on a state-by-state basis is actually much more important than what's happening in federal level. And there, for example we'll be in Austin a week on Monday at the Dana Center, where we're doing some really interesting work to help community colleges improve employability and build much better relationships with employers. That's a huge issue and it's one of the big opportunities that we see. So we've got some quite interesting things going on there. So I think, in a headline, pretty bearish about the political environment in K12. I think we've reflected that in our guidance. And feeling quite optimistic that there should be potentially some bigger opportunities than the current assuming on higher education if we can make those work.
Tom Singlehurst: So 1b--
John Fallon: Go on, okay. There's not a 1c, though, is there?
Tom Singlehurst: Yes, there's going to be a 1c as well. 1b is disposals and, in particular, you talk about reducing exposure to managed services. Is that you indicating you want to get out of actually running schools and universities full stop? Or is this just small tweaks like the Saudi contract?
John Fallon: I think, if you look in the appendix in the back of the pack, we've tried to give you, on four measures, attractiveness of the market, our competitive position, the capital implications and the relative profitability compared to the Group margins. And you'll see that in managed services in the growth markets we would like the profit characteristics of franchise type operations. And our experiences with South Africa and in Saudi Arabia is that models where we have high fixed costs and you can't flex to change in demand, is something that we feel less comfortable with. So it's a tweak to the model, where you'll see, as we build out direct-to-consumer businesses, we're much more focused on blended, flexible franchise, rather than fixed bricks and mortar models.
Tom Singlehurst: And 1c is CapEx. Last year I know you were talking about £170 million to £180 million so it's quite a lot higher and you've decided to keep it higher. Is that just because you're taking advantage of the fact that you've got more cost saves coming through and it's not something we're not likely to focus on? Or is it because you're accelerating something there?
Coram Williams: The primary driver of the increase in CapEx which is about just over £60 million year on year, is the platform simplification program, so what we call the enabling program which is about moving from the 63 ERP and associated systems that we've got to a single Oracle system. So that, plus a couple of our other system simplification programs, are driving all of the CapEx. The reason I'm indicating that it will stay at those levels in 2016, is that this is a three-year project. So the majority of the CapEx happens 2015 and 2016 and there will be a little bit of flow through into 2017. We do think there's a very significant payback on that investment, for obvious reasons. And, in my mind, this is foundational to a lot of what we're trying to do in terms of this simplification and streamlining of the Company. So it's got a good ROI.
David Reynolds: David Reynolds, Jefferies. Just two quick-fire questions. Just to help back test the model, I think your North American underlying growth was negative 1% for the full year and, if my memory serves me correctly, it was plus 3% at the half-year point. Coram, are you able to tell us what the Q3/Q4 numbers were?
Coram Williams: Well, we don't disclose the growth by quarter. But mathematically, you can figure out that it was significantly down for reasons that we've talked about. So U.S. college was primarily the enrolment pressures which we saw and flagged in October, as well as the additional returns. The key point is, it didn't get any worse in Q4. So it was exactly in line with the expectations that we set out in Q3.
David Reynolds: And secondly, this may be a bit retentive, I just wondered if you could share with us, perhaps, how many higher education students in the United States paid for a digital product from you in 2015 or a blend with a digital component in it.
Coram Williams: How many students? That's a very good question. John, do want to take that one?
John Fallon: I was buying myself some time to refer you to, I think it's page 54 in the appendix, where if you see that the MyLab/Mastering user registrations were 13 million last year. I'm looking at Simon, I think the split between North America and international is roughly 10:3 or something like that, 11:2, so around 11 million MyLab and Mastering. And then Simon, does that include the REVEL registrations, the start of REVEL, so that's got REVEL in it as well. I think we only launched REVEL last year, I think we're up to about 150,000 digital users in REVEL. But we've only launched it on about 70 products so far and that will go much more in the years to come.
Chris Collett: Chris Collett, Deutsche. Just got two questions. One, John, you said that you have to be a leader in personalized adaptive learning. I'm just wondering to what extent are you reliant on partners like [indiscernible] to deliver that adaptive learning? And to what extent you actually have built the capabilities yourselves? And then second, more of a financial question, it looks like, Coram, you said the effect of disposals for next year is going to be £90 million, but the profit from discontinued operations is £50 million. And you also said that the effect of saving the bonus in 2015 was £70 million, but it's going to be £110 million next year. So have you padded both of those numbers out by £40 million for your 2016 expectations?
Coram Williams: Shall I take a run at the first? So taking the disposals first, you've got to remember that the discontinued is only the FT and the Economist and there's also PowerSchool. But because that isn't a separate cash generating unit, that's actually up in our numbers. So the total effect from the portfolio disposals is £65 million year on year. The £25 million difference is driven by list disposals. This is part of our ongoing strategy of streamlining our higher education business and getting out of lists or disciplines or subjects which don't have the growth potential that we think. That £25 million is the proceeds from the list disposals. The actual annual profit relating to those is only £5 million. We record the proceeds above the line, we always have done on list disposals because, effectively it's a pull forwards of the profit that we would have earned. So this is completely consistent accounting treatment that we've always undertaken. On the bonus, the reason for the difference is that we didn't make target in 2014, so £70 million is not the target payout, whereas the £110 million that's going back in, it assumes an on-target payout. In other words, a performance in line with budget. Clearly, if we don't make our targets, then it's lower, if we exceed our targets it's higher.
John Fallon: On the second point or on your first question, I think you can assume that we've got a range of approaches. So yes, we work with Newton, just as we work with a number of other third-party vendors. But it's also an area where, in our priority products, a major source of organic investment is going into developing our own in-house personalized adaptive capabilities. We're also looking at a range of potentially exciting partnerships with other players as well and I think that's something that we'll talk about in more detail when we have the investor seminar in June. I think we've got a question from Tim Nollen from Macquarie which is, could you please speak about educational institutions' willingness and ability, financial or otherwise, to make or complete the transition to digital content and new digital services and would you characterize it as eagerness or resistance? I think I talked quite a lot about this in the presentation. I think there's a spectrum -- I think there's a number of institutions, I've already mentioned one of them, Arizona State University, who are real pioneers and are driving it hard and are leaders in it. And then there's a very significant part of mainstream education where there's a greater degree of caution. There is an interesting dynamic between the leadership of universities and faculty, so quite often it requires really to get the faculty fully on board. And I think one of our great benefits as a Company, the size and scale and the distribution and reach, if you take somewhere like Arizona State University, we both have very good strategic relationships at the president level, but then we have large numbers of sales reps visiting every college professor on campus every day. And I think it's the ability to work right across the range at each level which gives us an inherent competitive advantage and actually does make it harder for new entrants to come in, particularly with the lack of an advertising former model, you can't easily launch an advertising platform-led approach. So that's the way we would see it.
Alastair Reid: Alastair Reid, Berenberg. One question, but two related parts. Firstly, you mentioned some possibility of further testing contract losses, can you talk about operating leverage in the U.S. testing business? What costs would naturally come out of the business if those losses were to come through and equally, if growth as and when then returned in that business, what incremental margins you might expect? And then in a similar way, you talk about operating leverage in the U.S. higher education business. If you did start to see revenue per student fall, what costs, if any, would start to come out with that as well?
Coram Williams: On the testing business, we've said that it has a margin around the same as the general Pearson business, so obviously not as high as some of our high margin businesses like UK qualifications or North American college. We do try and structure it so that the cost base mirrors the length of the contracts as far as they can. So we take out property leases that reflect the length of the contract which means if you do lose a contract, there is a natural step-down. But nevertheless, you lose gross margin if those contracts go away and it's one of the reasons why, if you step back and look at the way that we've framed the restructuring, it's one of the key planks is to right-size that business and make sure it is fit for fewer, better testing contracts. On North American higher ed, we've always said this is a high margin business. That is very clear from our description of the profits that we've lost as a result of the cyclical pressures. So we quantified that at £230 million which was U.S. higher ed, UK qualifications and South Africa, U.S. higher ed was a big chunk of that. It's significantly geared both on the down and the up.
John Fallon: And then just on a bit more visibility on the testing contracts, clearly the key thing that we're watching most closely is the nine states that are still part of PARCC consortium, given the sort of breakaways that we saw last year. We're just about to enter the operational running of the test. There's 16, so they're all secure for this year. The one to watch for next year is Massachusetts which has been half running PARCC, half running its own test. And they're going to continue that hybrid approach, but putting a new contract out for tender which obviously we will be part of the process for them and we'll see how that plays out.
Unidentified Analyst: Two quick ones--
John Fallon: Maybe we could crowd source the questions. Yes, go on.
Unidentified Analyst: If I could put you guys on a balance sheet a little bit, you have a lot of cash on the balance sheet, you're going to have less after you pay the dividend, then you need to take into account working capital, do you think you plan to -- obviously you've committed to paying down debt, but keep some more of that cash on balance sheet or if there's attractive and organic opportunities you'll pursue those when you see them? And second, if you could provide any update on your view of Penguin Random House.
John Fallon: Coram, do you want to take balance sheet and I'll talk a little bit about Penguin?
Coram Williams: Absolutely. Obviously, the cash has helped our net debt position which is about £1 billion lower than it was at the end of 2014. Free cash flow in 2016 is going to be tight because, after the restructuring costs, it's going to be in the £100 million to £150 million range. And after we've paid the dividend, then obviously that means we will eat into the cash a little bit, so net debt will rise. At this stage, we think that it is best to keep that cash and make sure that it is underpinning our commitment to our dividend and giving us a strong balance sheet while we work our way through some of the pressures that we're dealing with and I was very clear as I described our capital allocation policies, we're not going to be making acquisitions in the short term. We have got a lot to deliver. We're very focused on delivering that and we think that's the right way to approach the capital allocation.
John Fallon: Okay. On Penguin Random House, you're all familiar with the terms of the shareholder agreement going back to 2012. The next sort of window would be in 2017. Just to remind you, we can put our shares to Bertelsmann, they don't have to take the put, but if they don't it triggers a recapitalization of the PRH balance sheet at their expense and a special dividend paid to shareholders proportionately. So it's not an issue until 2017 and, in the meantime, I think as you saw, the business is performing well, partly due to the efforts of my new colleague in terms of the brilliance of the implementation and restructuring, the integration of the two businesses, that's gone very well. We'll see further benefits of that come through this year, although it will be some offset, I think as Coram said, by the new pricing agreement with Amazon around digital which will have an effect in the opposite direction. So we're pleased with the competitive performance. We've got an option in 2017 and we've got plenty of time to work out what to do.
Steve Liechti: Steve Liechti, Investec. Just on your organic investment you said was £700 million, so I'm presuming we've got the £250 million which is the CapEx and the rest is OpEx. That's the best way to think about that, is that right?
Coram Williams: Not quite, actually. So you have got, as you will see from the pre-pub reconciliation at the back, there's a significant amount of cash that goes into our pre-pub spend which is sort of £350 million to £400 million, you've got the £250 million on CapEx, just under and then the rest is effectively OpEx. So that's the split of the £700 million.
Steve Liechti: Right. And I'm just trying to figure out why £700 million is the right number, given you're a business that's got a growth problem, there's lots of talk about the cycle and stuff. I still feel, if I was you, I would be thinking a lot more carefully about putting more money into organic investment.
Coram Williams: To be fair, the rate of organic investment has been ticking up slightly over the past couple of years and that's because we've identified the opportunities that we want to go for and we've invested in them. We're trying to scale back so that we invest, as I said, on fewer, bigger opportunities and we don't feel constrained by the £700 million figure. If there is an opportunity that would take us above that, then we'll go for it. And to an extent, that's what the balance sheet strength and flexibility allows us to do.
John Fallon: We expect to get a better return on that organic investment. For example, by bringing the three lines of business together into one global product organization, we could invest once in things like learning analytics, adaptive learning capabilities and get greater benefits across the whole of the Group. So it's not just how much we put in, it's expanding what we get out of what we put in which is going to be the key part of what we think we can achieve.
Unidentified Analyst: Just one question, please, can you give us another split of your revenues by public spending and private spending and maybe how is that evolving? We had a view that private spending would pick up a lot of the slack from public austerity. Is that happening, was that related to the emerging markets or--?
Coram Williams: I don't think we'd give a split of public and private, partly because it moves around. What we're seeing is in, for example, our emerging markets there is quite a clear division between the buoyancy of the private spend, driven by the demand of the middle classes, people who want to learn English and become more educated and the public spend which is under pressure. There are different characteristics around the Pearson business on that.
John Fallon: Crudely, if you went to page 48 and just use that as a basis, school courseware is all public funding, the top right segment, North America school courseware would all be public. Higher education and ELT is individual spending. It's an adoption model, so it's professor recommendation, but it's a student purchase. Core and growth courseware would be an even mix, pretty much the public and parental spending. In assessment, core, North America student assessment and clinical is state. Professional certification is primarily individuals. And in growth, as Coram said, the majority would be towards private individual spend and the balance from the state. So you can work that out from that.
Ian Whittaker: Ian Whittaker, Liberum. Apologies, two questions, one is actually coming back to Nick's question before in terms of the gross sales and also as well, you had some sight, Coram. You said that in terms of the booksellers are usually pretty good at estimating demand, but obviously in 2014/2015, they weren't because you had one bookseller that essentially seems to have overestimated demand and returns. One of the more cynical explanations I've heard within the industry is, essentially, the booksellers are doing the publishers a favor by buying their product in 2014 and then returning it in 2015, so as it were to help the 2014 numbers. I'm sure that's not correct, but can you explain why that particular bookseller actually seems to have got it so wrong in 2014, when none of the other booksellers actually did? Then the second thing is just in terms of the write-downs and what's happening within the expectations there. There's a line in the statement that talks about management's expectations of future returns that were revised down in the course of 2015. Now you've talked a lot about the cyclical and positive factors and so forth that have driven down the write-downs. That sounds more like a reduction in long term growth rates that are coming through. If that's the case, can you just explain by how much you've actually taken down those expectations? Then it also as well looks as though in North American software there's been another reduction in the longer term assumptions there.
John Fallon: If I pick up on why the major campus bookstore chain did what they did on returns and then you pick up on the second. Essentially, new management came in, I think it was late 2013. They brought in some external consultants to try to understand how could they arrest the decline that we were talking about earlier, where the shift from students buying on campus to going to Amazon. The recommendation was that the key thing was to increase product and stock availability at the start of term and ensure that they were never out of stock. That was the approach that they took. They didn't adjust their pricing as much as they needed to, so although the students came in the store, they still worked out they could get it more cheaply online. That's, essentially, what happened. What gives us confidence that that is much more a specific customer issue rather than a generic industry trend is that, if you look at returns last year and strip out that one player, actually returns year on year for the rest of the industry were down. Well, for us they were down on the prior year. So that explains, I think, what was happening with that specific retailer.
Coram Williams: On the write-downs, this is a mechanical accounting adjustment. What we have done, what John asked me to do when I came in, was to do a bottom-up review of all of our financial plans and our markets and our businesses. That underpins the guidance that we've given for 2016 which I hope you agree is more comprehensive and it underpins the £800 million goal for 2018. Now what we've then done is taken those same forecasts, those forecasts that underpin the £800 million goal, we've flowed them through our impairment models and it's given us the outcome that we've got. If I step back, it makes perfect sense because, effectively, what we've seen is changes in the macroeconomic environments in the emerging markets which has led to trading pressures which brings down short term expectations. We've also quantified the effect on our North American college business of the pressure on enrolments. So there's a consistency to all of this and it is all underpinned by £800 million goal that we've set.
Ian Whittaker: Just outside the gross number, I think on the footnote on slide 31, it says adjusted for 2012 revenue mix, when you talk about the gross net sales. What is that? Is that just a fancy way of saying you've rebased it at £100 or is there something else that you've adjusted?
Coram Williams: It's two things. It's about us basing it at £100 and it's effectively about us making sure that it's reflective of our weight in the channels in 2012 and flowing through to 2015. So actually, this is even stronger because what we've done here is adjusted the numbers to reflect what you would expect to have happened, given that the channels that we were strongest in, community college and for-profits, have actually declined. That's all that footnote means.
Katherine Tait: Katherine Tait, Goldman Sachs. Just on your 2018 goals, I was wondering if you could unpack the assumptions, particularly around the £100 million increase in operating profit that you're expecting between 2016 and 2018 above and beyond the cost savings. How much of that is underpinned by improving organic revenue growth trends, etcetera? Just any color you can add would be really helpful.
Coram Williams: Just to step back for a moment, the £600 million to £800 million, as you rightly said £100 million of that comes from the incremental benefit on the restructuring which, provided we execute effectively this year, we will deliver. The additional £100 million is organic revenue growth. Given the gearing in our business, given the gross margin drop-through in our business, it's only a couple of points of revenue growth per year and it's really driven by five things. Firstly, we're expecting that the cyclical pressures that we've seen in U.S. college and UK qualifications will stabilize during 2017 and then pick up a little bit, we've explained why. Coming to the end of policy change in the UK. We think that U.S. unemployment which is the main driver of college enrolments, will actually bottom out in 2016, to pretty close to full employment, frankly, in 2016. The second thing, as John mentioned, is that we're taking a conservative view of North American testing, so we're assuming we lose further contracts in 2017 and that stabilizes in 2018. We do think there will be a bit of growth in our clinical assessments and our professional certification business, but the main assumption is around North American state testing. In the emerging markets, we're not banking on any significant macroeconomic growth. We get modest growth from new products and market share gains. And a good example of that is the New Student Experience in our Wall Street English business. And then the final piece is really around the growth businesses that we've got in the shape of virtual skills and online program management in higher ed. Both of those are growing in double-digits right now and we're and have been for some time. We're expecting that growth to continue. So those are the drivers of how you get that £100 million of profit relating to the organic revenue growth.
John Fallon: Okay. I don't know how this happens, but yet again the final question is with Mr. Wellington.
Patrick Wellington: A couple of questions, Katherine's is the one I was going to ask which was the 2018 thing, but how quickly do you think that turns around in 2017? You could have presuming this year is minus 2% on testing, minus 2% on the rest, you'll be minus 4%, you could get quite a dramatic 500 basis points organic growth turnaround in 2017, is that what you're saying?
Coram Williams: What I'm saying is it will stabilize during 2017 and I think at this stage we're calling it year on year. I'm not about to make a forecast about when it turns during 2017.
Patrick Wellington: And secondly, just to clear up on book list sales, are there any further book list sales assumed 2016 to 2018 to contribute to the numbers--?
Coram Williams: There is nothing built into our guidance, but this is a strategy that we have been pursuing for a period of time. But there is nothing assumed in the numbers that we've given you.
John Fallon: And just to give you a bit of a context on that, because I have talked about this previously, as you make the shift from analog to digital, not all textbooks work in a digital world. And where we have a long tail of low selling textbooks, normally around second and third year subjects, normally in the arts and humanities, there's not going to be a compelling digital offering. They are the courses that are actually most vulnerable to OER because there's the less value added and as I've talked about in previous presentations, in the spirit of focusing on fewer bigger opportunities, it makes more sense from our point of view to sell those titles so we can focus on the bigger areas and the bigger disciplines wherever there is a compelling digital play.
Patrick Wellington: And finally, it would be a shame to have your new Chairman here and not have him say anything. Sidney, what have you found since you've been at the business, what do you think of what you've seen at Pearson so far?
Sidney Taurel: Thank you. First, I think I have found an organization where there is a very strong sense of purpose. I've been very impressed by the quality of the people that I've found, particularly in the leadership. I've also found an organization which is probably too large, too complex. I think it's the result of history, this Company has grown a lot through acquisitions and those acquisitions very often were left to their own devices or rather they were run as independent businesses. And as the Company moved from this conglomerate approach to an operating company approach, it has not completely simplified and streamlined the organization to the degree that it can. So we have operating expenses, especially in the G&A area, in IT, etc., as a percentage of sales which are very high and provide really opportunities for better efficiency, going forward. The Company is very involved in the enabling program which will take another three years, so it's a very, if you want, unglamorous difficult task, but vital, fundamental, as was said earlier to the future running of the Company. At the same time, I think there are more opportunities to simplify, as John indicated, as we constantly do, the portfolio to make sure that the units are synergistic, that we're the best owners of each part of the business, that we move from products to platforms that can be leveraged across businesses and globally. And all of this effort will continue, going forward. I've joined at an interesting time, to say the least, I think an inflection point for the Company. It's clear that this good management team inherited a complex business and was faced with a trifecta of issues. We've talked at length about some of the cyclical challenges that it faced in the last few years. It benefitted a few years ago from very strong policy trends, both in the U.S. with common core and in the UK with BTEC which have reversed themselves in the last couple of years. So all of this is at the root of the challenges that have been faced in the last two years. But I think the management team has taken the right measures to address those issues and I think my advice to them was just to go further in what they were set out to do which was, on the restructuring, to go as deep and as quick as possible so as not to destruct the organization, to stay away from acquisitions in the short term, in order not to create more complexity to an already complex business. We had lots of discussions on the capital allocation issue and we finally came to the position which was theirs to begin with. I always challenged them quite a bit, but we ended up keeping the dividend while we build the cover, after the Board felt comfortable, after a lot of challenges on the projection for the next three years. It was very important to reset the expectations and I think that has been done very effectively for 2016, 2017 and 2018. And I think our objective for the next few months is really to focus on execution and to be as I said earlier with someone, a boring Company. No surprises.
John Fallon: Thanks, Sidney. So I think that draws it to a close for today. As ever, Simon and Tom are here if you have any follow-up questions or anything you want to take up. As I mentioned earlier, we have our annual general meeting at the end of April and then our next scheduled event will be the investor seminar which will be around global higher education and will be on a date to be announced in June. Okay, thanks, everybody. Good to see you. Thanks.